Operator: Good afternoon and thank you for joining us today for the Aytu Biopharma Financial Results and Business Update Call for the Fiscal Third Quarter Ended March 31st, 2021. With me this afternoon are Aytu's Chairman and Chief Executive Officer, Josh Disbrow; and Chief Financial Officer, Richard Eisenstadt. Aytu Biopharma issued a press release earlier today with the details of the company's operational and financial results for the fiscal third quarter. A copy of the press release is available on the News page of the company's website at aytubio.com. I'd like to remind everyone that today's call is being recorded. A replay of today's call will be available by using the telephone numbers and conference ID provided in the earnings press release. In addition, a webcast will be accessible live and archived on Aytu's website within the Investors section under Events & Presentations at aytubio.com. Finally, I'd also like to call your attention to the customary Safe Harbor disclosure regarding forward-looking information. The conference call today will contain certain forward-looking statements, including statements regarding the goals, strategies, beliefs, expectations, and future potential operating results of Aytu Biopharma. Although management believes these statements are reasonable based on estimates, assumptions and projections as of today, May 17th, 2021, these statements are not guarantees of future performance. Time-sensitive information may no longer be accurate at the time of any telephonic or webcast replay. Actual results may differ materially as a result of risks, uncertainties, and other factors, including, but not limited to, the factors set forth in the company's filings with the SEC. Aytu undertakes no obligations to update or revise any of these forward-looking statements. I would now like to turn the call over to Aytu's CEO, Josh Disbrow.
Joshua Disbrow: Thank you, Devin. Good afternoon everyone and thanks for joining us today. This quarter we accomplished many key milestones as we continue to grow our commercial portfolio of prescription therapeutics and consumer health products, while also pursuing the expansion of our late-stage development pipeline with a focus on the underserved pediatric population. Notably, we closed our merger with Neos Therapeutics, which is transformed Aytu into a pro forma $100 million annual revenue specialty pharma company with an enhanced footprint in the pediatrics and adjacent specialty care segments now with the addition of Neos' three ADHD branded products Adzenys XR-ODT, Cotempla XR-ODT, and Adzenys-ER. In addition to expanding our portfolio with these products, which I'll touch on shortly, we also expect the merger to result in annual operating cost synergies of approximately $15 million in fiscal year 2022. We've now begun the integration process realization of these expected synergies, particularly on our commercial and general and administrative processes and organizations. Subsequent to the end of the quarter, in April, we also acquired a late-stage pediatric onset rare disease pipeline asset and brought on the executive team from rumpus therapeutics. This acquisition fits within one of our key goals, which is to complement our pediatric center commercial portfolio with a novel product pipeline that can be efficiently progressed, serves to address areas of significant unmet medical need, and supports the company's future growth potential beyond the current commercial portfolios. Additionally, this quarter, we continue to make strides with Healight, the UVA light catheter technology licensed from Cedars-Sinai Medical Centre and the completion of a pilot study in SARS-CoV-2 in the preprint publication of that study. And subsequent to quarter end, we announced the preprint publication of an in-vitro study demonstrating a potential mechanism of action of the UVA light that may lead to the technologies demonstrated antiviral effects. During the quarter, we took a significant step in refining our focus on building a leading pediatrics company by divesting the Netesto. We've returned all U.S. rights to the Netesto to Acerus Pharmaceuticals in exchange for $7.5 million in cash paid out in equal installments of $250,000 over 30 months. Through this divestiture, we are now able to allocate our commercial resources on the Rx side of the business to the ADHD and pediatric brands, and fully establish ourselves as a pediatric-focus company. Rich will go into more detail shortly on the financials, but I want to take a moment to touch on revenues and our cash position. Net revenue for the quarter was $13.5 million compared to $8.2 million for the same quarter last year. This growth was mainly driven by our consumer health division, which had had multiple product launches and growth of the ecommerce channel notably growth of our OTC monograph products; OmepraCare, Regoxidine, and FlutiCare. While we saw somewhat more modest net growth in our Rx division, I want to stress that these numbers include revenue contribution for the Neos legacy business only for the period between March 19th and March 31st of 2021. So, the next reported quarter will represent our first quarter of fully integrated revenue. We ended the quarter with $46.8 million in cash, cash equivalents, and restricted cash and that's after having paid down $15 million in principle on the Neos term loan held by Deerfield. Turning to our commercial products, Rx revenue growth was largely driven by growth in Aytu's heritage pediatric portfolio led by Poly-Vi-Flor, our multivitamin and fluoride supplement product line. With the close of the Neos merger, on the Rx side of the business, we added core complimentary ADHD products; Adzenys XR-ODT and Cotempla XR-ODT to our pediatric focus portfolio. Not only are these growing brands, but the accompanying sales team we're bringing on further enhances our footprint in pediatrics while also expanding our presence in adjacent specialty segments. We expect this will enable increased promotional opportunities for Aytu heritage products, while continuing the growth of the core ADHD brands. As we integrate the two companies' Rx portfolios, an important initiative for us is to integrate the Aytu heritage products into the Neos RxConnect pharmacy network and Patient Support program, which we're renaming Aytu RxConnect. This program was developed by Neos to improve patient access to ADHD brand through an improved patient and physician experience of predictability and consistency in getting prescriptions filled at a consistent predictable price for patients. In our diligence leading up to the Neos merger, we observed the benefits of the RxConnect program brought to the ADHD brands and viewed RxConnect as a key element that should drive growth across our RX portfolio, specifically including the Aytu heritage brands. So, with all the brands getting integrated now into RxConnect, we expect to drive incremental product growth. On the consumer health side of the business, our over-the-counter medicines include OmepraCare, our OTC private label proton pump inhibitor for acid reflux, which competes with Prilosec; Regoxidine is our private-label OTC foam formulation of medoxomil competing with Rogaine for hair loss, and FlutiCare is our private label fluticasone propionate nasal spray competing with Flonase. e-commerce remains a strong channel on that side of the business and we believe these products continue to have significant growth potential. And by virtue of being sold through our e-commerce channels, these products can be sold efficiently with a lower marketing spend. We expect to see continued trajectory over our three core OTC medicines and expect to launch new products that compete with national brands as lower cost alternatives. We're planning additional product launches to continue to build scale on the consumer health side. Our direct consumer business also continues to drive revenue scale through a diverse range of consumer health products. We expect to launch multiple dietary supplements, OTC monograph products, and cosmetics through this channel through the second half of this calendar year. Turning now to our pipeline, Healight is our first-in-class UV light-based antimicrobial catheter investigational device. We have a worldwide license from Cedars-Sinai Medical Centre for all nasal pharyngeal and esophageal applications for Healight. Last week, we reported that in-vitro data was published in BioRxiv; the manuscript concluded that UVA light increases the expression of mitochondrial antiviral-signaling or MAVS protein within cells. And the results suggest that this transmission of an increase in intracellular MAVS involves cell-to-cell communication. These findings confirm that an increase in MAVS in response to UVA light can be transmitted from cells directly exposed to UVA light to neighboring cells that have not been directly exposed to UVA light and suggests further that cell-to-cell signaling is involved in the process of enlisting Healight's antiviral effect. These final findings are important, as they indicate that the wavelength and form of light delivered via the Healight device may not need to directly hit infected cells to have an anti-viral effect against viruses like SARS-CoV-2. In March, we reported data from a first-in-human open label clinical trial in SARS-CoV-2 patients. The data show that endotracheal UVA light treatment was associated with a significant reduction of SARS-CoV-2 viral load, and improvement in clinical severity scores. Additionally, the endotracheal UVA light treatment did not result in any serious adverse device effects and was well tolerated. The data was published in med archive and a manuscript has been submitted for peer review. We plan to initiate a Phase II trial of Healight SARS-CoV-2 in COVID-19 in the second half of the calendar year and to continue discussions with the FDA and other regulatory agencies regarding the advancement of our Healight UVA light catheter technology. The potential commercial opportunity is large here with applications going well beyond COVID-19; ventilator-associated pneumonia, severe influenza, and other difficult to treat respiratory infections represent large market opportunities, and we're eager to fully explore Healight's full potential. Turning now to our newly acquired product candidate. In April, we announced the acquisition of a global license AR101 or enzastaurin, a pivotal study-ready therapeutic candidate initially targeting the treatment of vascular Ehlers-Danlos Syndrome or vEDS. We acquired this potential vEDS treatment from Rumpus Therapeutics, a privately held biopharmaceutical company focused on the treatment of pediatric onset rare and orphan diseases. vEDS is a rare genetic disorder typically diagnosed in childhood and characterized by arterial aneurysm, dissection and rupture, bowel rupture, and rupture of the gravid uterus. There are no -- there are currently no FDA approved treatments for vEDS and the unmet need is massive. On average vEDS patients don't survive past their 51st birthday. We expect the AR101 enzastaurin pivotal trial to get underway following the completion of the pivotal study protocol and submission of an IND application in the second half of this year. We continue to identify additional growth drivers and target acquisitions, while focusing on streamlining our operations and driving annual revenue growth through a commercial model focused on growing sales and gaining G&A synergies across our business segments. To that effect, in April, and as alluded to earlier, we announced an agreement with the Acerus whereby Acerus acquired all remaining rights to Netesto in the U.S. will receive $7.5 million in consideration, which is payable in 30 equal monthly payments of $250,000, which began in April. We also grow our leadership team hiring three new executives in April as part of the AR101 transaction; we added Rumpus Therapeutics' Co-Founders and Principal Executive Officers, Topher Brooke and Nate Massari as Executive Vice Presidents. They will be responsible for the AR101 program in the development of our pediatric onset rare disease pipeline. We're very eager to draw from their deep experience in rare disease, business and product development, and commercialization. And we appointed Rich Eisenstadt as CFO. Rich as an accomplished pharmaceutical industry executive with more than 20 years' experience in leading finance and accounting operations, supporting clinical development, and commercialization and raising capital within the life sciences sector. Welcome, Rich. We're excited to have you on board. And with that, I'll now turn the call over to Rich for some additional financial highlights. Rich?
Richard Eisenstadt: Thank you, Josh and thank you all for joining us. We ended the quarter with $46.8 million in cash, cash equivalents, and restricted cash following the $15 million principle payment to the Deerfield that was part of Neos merger. Following that payment to Deerfield only $15 million, in principle remains outstanding to Deerfield payable in May 2022. We're now in the process of post-merger integration following the Neos transaction. We had previously announced that we anticipate synergy savings of $15 million annually beginning in fiscal year 2022. And the process of beginning to realize these savings is well underway. Net revenue for the quarter ended March 31st, 2021 was $13.5 million compared to $8.2 million in the same quarter last year. The company continues to increase sales through organic product growth and field realization of its recently completed transactions. Net revenue from the consumer health division was $8.4 million, a record for this division and an increased from $3.5 million in the same quarter last year, which reflected results only for the period beginning February 15, 2020 following the close of NFS consumer health acquisition. Consumer health growth was driven by multiple product launches and growth of the e-commerce channel. Net revenue for the Rx division was $5.1 million for three months ended March 31st, 2021, up from $4.7 million in the same quarter last year. Prescription revenue includes net revenue for the Neos ADHD products only for the period following the closed the merger on March 19th, 2021. So, our next quarter will reflect the full integration of net product revenues. Cost of sales of $13.7 million for the quarter ended March 31st, 2021, including a write-off of $7.1 million for slow moving inventory, and net cost of $6.6 million compares to cost of sales of $2 million for the period ended March 31st, 2020. 2021 cost include the fair value or market cost of the ADHD products sold in the period due to the write-off of inventory result of the asset purchase of Neos. The results from 2020 included the costs associated with consumer health division only for the period beginning February 15th, 2020. Deal expenses and restructuring charges for the quarter ended March 31st, 2021 totaled of $10.6 million compared to $300,000 from the same quarter and 2020. Loss from operations was $25.7 million for the three months ended March 31st, 2021 versus $4.8 million for the three months ended March 31st, 2020. After backing out these one-time costs and the inventory adjustment that I previously mentioned, adjusted loss from operations was $8 million for the quarter ended March 31st, 2021. Net loss was $25.5 million for the quarter ended March 31st, 2021 or $1.41 per share versus net loss of $5.3 million or $1.51 per share for the same period last year. As discussed in our press release, after reviewing our cost structure, we have determined that the best serve our patients and to reduce costs, it would be more efficient and cost effective to outsource manufacturing our ADHD products. Neos has historically manufactured its products at its Grand Prairie, Texas manufacturing facility. We have identified a global contract manufacturer take on the production of the ADHD brands and we expect that the technology transfer process will be completed over the next 18 months. Upon the completion of the tech transfer, we will close our Grand Prairie manufacturing operations. I will now turn the call back over to Josh for some additional commentary. Josh?
A - Joshua Disbrow: Thank you, Rich. So, as you can see, Aytu has gone through a significant transformation and we're a new company today with combined pro forma $100 million dollars in revenue, a diversified Rx and consumer health portfolio, a late-stage pipeline addressing significant unmet needs, and a plan to efficiently integrate the new company to reduce costs. The coming quarters will bring continuing progress in growing sales and gaining synergies and we'll be moving closer to the initiation of the AR101 program. I'm proud of the team for the progress we've already made post Neos and I'm looking forward to more accomplishments as we continue with our growth plans. With that, I'll turn the call back over to the operator for Q&A. So, Devin, if you can open up the lines.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Our first question comes from the line of Jennifer Kim with Cantor Fitzgerald. Please proceed with your question.
Jennifer Kim: Hey, thanks so much for taking my questions and congrats on another quarter guys. I have a few questions here. I guess the first one would be on your plans on the ADHD business to change your cross cost structure and with outsourcing, how should we think about the potential impact of that over the next 18 months, either to your ADHD business sales or OpEx? And can you touch on what the long-term impact on margins that could be -- that could have?
Richard Eisenstadt: Sure.
Joshua Disbrow: You take that.
Richard Eisenstadt: Yes, yes, I'll take that call. The cost of actually transferring the technology and performing bioequivalence studies is expected to be less than $2.5 million over the next 18 months. This will be reflected in G&A, Jennifer. We have previously been doing some work and that's also gone in the G&A line. On a cash basis, our partner has agreed to defer payment for approximately half of the tech transfer costs until after we commenced purchasing finished product. We have historically achieved gross margins in the mid-50s, the mid-60s for ADHD products, which we anticipate in near-term will comprise perhaps 50% of our revenue. We'd anticipate not only having more certainty as to the margins quarter-over-quarter, which of course, have varied as we have historically manufactured our products on a seasonal basis, but we anticipate that this could allow us to achieve gross margins in excess of 80% for those ADHD products after the tech transfer is complete in 2023.
Jennifer Kim: Okay, that's helpful. And then do you have any thoughts on the -- how should -- we should think about the incremental contribution starting next quarter since that's the first full quarter of ADHD products? Is it going to be like -- historically, I know it's been like the $6 million to $7 million, is that what we should expect to start coming in starting next quarter?
Richard Eisenstadt: Well, yes -- I'll take that Josh, if you want. The ADHD products, as you know -- well, first, we don't give guidance, but we do anticipate that we should have quarter-like-quarter quarter-over-quarter -- the second calendar quarter, as you know, is the beginning of the summer time drop off in prescriptions due to schools being out for the summer. So, it usually does begin to tail off from early May through August. So, the revenue, I would consider if we looked at previous years, it should be similar to that. Margins will be affected negatively, Jennifer, because of the write-off in inventory, of course, still in purchase accounting. You have to write-off your inventory to fair market value. So, basically our inventory is written up close to market cost or at market cost. So, we won't see margins necessarily over the next quarter. I think getting into the first fiscal quarter or the quarter beginning July 1st, we'll see a return to the margins that we historically have seen for ADHD.
Jennifer Kim: Okay. And then maybe turning to the pipeline, I think you may have mentioned this, but can you remind us of -- so is the -- have you started those discussions with the FDA? And can you remind us when we could exactly expect an update on those plans for the pivotal trial?
Joshua Disbrow: Yes, I'm happy to start that and then Rich you can chip in as well. So, Jennifer, yes, the team at Rumpus for quite a while has obviously been working on enzastaurin and has had dialogue with the FDA, and fully expecting it to be a single trial that's required to move it towards approval. What I would expect next quarter will be in a position to nail down sort of firm estimated start dates, certainly a firm submission to the IND, which we have said will be by the end of this year and realistically study starting shortly after the start of the new calendar year is how we're thinking about it. So that's, I think, probably the cleanest way to answer that question. If Rich if you have anything else to add, feel free.
Richard Eisenstadt: Yes, no, that sounds good.
Jennifer Kim: Okay, great. One last question on the net loss. I know -- because of those other expenses -- the one-time expenses and the write-off of the inventory, it would have been around like $8 million net loss for the quarter otherwise, and as you mentioned -- SG&A the impact of over the next 18 months from the change and allocation of ADHD that should add around $2.5 million in G&A. And then you said there could be some lingering inventory impacts in the next quarter. So, overall, how should we think about OpEx expenses for, I guess, the next quarter, but then also moving forward -- moving sort of beyond short-term or one term -- one-time impact?
Richard Eisenstadt: Yes, Jennifer, I don't know that Aytu has historically given guidance for the operating expenses, but I know that the coming quarter is going to still have some noise reflected in it. So, it's going to be higher than usual.
Jennifer Kim: Okay.
Joshua Disbrow: We haven't historically, Jennifer, guided on the OpEx line and yes, to reiterate, Rich's point is some deal costs and some sort of renormalization and I'd expect to start to see a new normal with respect to OpEx starting in the new fiscal year, first quarter, and then certainly normalizing and refining it a bit more the second fiscal calendar or second fiscal quarter.
Richard Eisenstadt: Yes, one thing I will add, though, Jennifer, is that the R&D line, which has been pretty minimal to-date from Aytu's side and fairly small, I think Neos have been spending probably $6 mi to $8 million on an annual basis and most of that was salary, you will see a step up in the class that run through that, obviously, getting the AR101 program going is going to, we anticipate that's going to be a $25 million to $30 million campaign over the next three years. It will ramp up over time. I think the rest of this year is not going to be to material, it's probably going to be less than $3 million as we get the IND filed. And as we start bringing sites up and getting them ready for the start of the pivotal trial. The other items that will hit going forward is, of course, the post-marketing commitments for the ADHD products for pre-legislation. So, that's probably going to be also around a three-year campaign totaling we think, at best $15 million, and that will probably get started later on this year as well.
Jennifer Kim: Okay, very helpful. Thanks, guys.
Joshua Disbrow: Thank you, Jennifer.
Operator: Ladies and gentlemen, we have reached the end of the question-and-answer session. I'd like to turn the call back over to Josh Disbrow for closing remarks.
Joshua Disbrow: Thank you, Devin. And thanks everyone for joining today's call. I hope we were able to effectively convey our progress and our accomplishments from what was a busy and productive quarter. I'm happy to be moving our key initiatives forward. Rich and I look forward to updating you on our fiscal 2021 year-end call in September. Until then, thank you and good evening.
Operator: This does conclude today's teleconference. You may disconnect your lines now. Thank you for your participation and have a wonderful evening.